Operator: Good morning. My name is Katie and I will be your conference Operator today. Welcome to the Luxfer First Quarter 2022 earnings conference call. All lines have been muted. After the speakers prepared remarks. We will hold a Q&A session. Now, I will turn the call over to Mike Gaiden, Vice President and Investor Relations from Luxfer. Mike, please go ahead.
Michael Gaiden: Welcome everyone to Luxfer first-quarter 2022 earnings call. With me today is Alok Maskara, Luxfer's Chief Executive Officer. Andy Butcher, Luxfer's Chief Executive Officer Designate. And Steve Webster, Luxfer's Chief Financial Officer. On today's call, we will provide details of our first-quarter 2022 performance as detailed in the press release issued yesterday. Today's webcast is accompanied by a presentation that can be accessed at luxfer.com. Please note any references to non-GAAP financials are reconciled in the appendix of the presentation. Before we begin, a friendly reminder that any forward-looking statements made about the Company's expected financial results are subject to future risks and uncertainties. We undertake no obligation to update any forward-looking statements, whether as a a result of new information, future events, or otherwise. Please refer to the Safe Harbor statements on Slide 2 of today's presentation for further details. Now, I will turn the call over to Alok for his summary comments on the quarter after which Steve will provide details of our financial results. Following Steve remarks, Alok will introduce Andy who will discuss Luxfer's outlook for Q&A. Alok, please go ahead.
Alok Maskara: Thank you, Mike, and welcome everyone. Please turn to Slide 3. I am pleased to share with you today details of our solid execution in the first quarter. I want to start by expressing my thanks to the entire Luxfer team, who once again navigated difficult supply chain conditions in the quarter to put our customers first. I also want to express my appreciation to our customers for the collaboration and support amid ongoing labor and material shortages. On this page, I want to highlight three key messages. First, we delivered 14% year-over-year sales growth in the first quarter, driven by an 8% uplift from the SCI acquisition, as well as our success in passing through cost inflation. While raw material availability impacted our volumes and input cost inflation impacted our profitability, Q1 adjusted diluted EPS of $0.33 places us on a strong footing to start the year. Our Elektron brought solid results, helped by a robust industrial demand and successful inflation pass-through. While gasoline, this Q1 results were challenged by inflation and material availability. Our 2022 growth expectations for this business units remain unchanged given the strong demand and order backlog. Our balance sheet remains solid with a net debt to EBITDA ratio of 1.1. Second, we remain focused on meeting high levels of demand by navigating through supply chain constraints. We are generating an elevated pace of order flow across many of our end markets, including industrial and aerospace, and see the potential for rising defense activity. This quarter, we implemented multiple actions to offset inflation in our input costs and we also advanced our efforts to further diversify our supplier base to increase supply chain resiliency. Consistent with our expectations at the year's onset, we did see some evidence of incremental improvements in the broader supply chain during the quarter. Third, our solid Q1 performance and healthy backlog have enabled us to improve our 2022 adjusted diluted EPS guidance range to a range of $1.35 to $1.50 from the earlier range of $1.30 to $1.50. In addition, our Q1 results and outlook for the balance of the year underscore our confidence in delivering on our EPS goal of $2 or more by 2025. Turning to slide 4, I would like to provide more details on our supply chain recovery efforts. Luxfer, like many other manufacturers, continues to navigate strenuous supply chain conditions at outlined in our Q4 earnings call in February. The ongoing force mature at U.S. Magnesium continues to limit availability of magnesium in the U.S. And at the same time, supplies of carbon fiber, zirconium sand, and other key raw materials also remain tight. However, we are making progress both internally and externally to address these unprecedented conditions. We continue to qualify alternate suppliers for key raw materials like magnesium, zircon sand, and carbon fiber. Success from our efforts to secure timely and cost effective procurement gives us greater confidence in delivering on our 2022 financial forecast. In March, the Rio Tinto Richards Bay mine, our primary supplier of zircon sand, lifted its force majeure, consistent with our expectations for incremental supply chain improvement as the current year progresses. These tight supply chain conditions persist against the backdrop of sustained high level of demand from our customers. Current oil pricing conditions underscore the value proposition of our products serving their transportation and energy applications. The geopolitical backdrop also brings the potential for heightened demand for our military and humanitarian relief offerings. We stand prepared to deliver any additional needs for U.S. or NATO troops with countermeasure flares, namely traction heaters, and other defense products to support efforts towards reinforcing security in the European region. We also remain ready to supply additional orders for MREs and humanitarian relief products to support those impacted by the devastating war in Ukraine. We continue to collaborate with our customers to proactively manage our elevated backlog. Our customer first approach, along with our ability to secure additional inventory supply, positions us well, to capture additional growth amid this busy and demanding economic backdrop. Now, let me turn the call over to Steve for details on our first quarter financial performance.
Steve Webster: Thanks, Alok. I'll start from Slide 5 with a summary of our performance by end market. As a reminder, we classify ourselves into three key end markets. Defense, first response, and healthcare. Transportation, which includes alternative fuel, aerospace, and automotive, and general industrial. On this slide, we've included numbers for Q1 2022 as well as the two preceding full financial years. The commentary on this slide references the current quarter only. In the defense, first response, and healthcare end markets, sales increased by 2.9% for the quarter. We saw strong demand for magnesium powders used in military flares, which were partially tempered with lower replenishment of disaster relief products on the heels of decreased pandemic-related order flow. Quarterly sales in transportation grew 11.6%, while the SCI acquisition continued to positively impact sales in this end market, we enjoyed a continuation of double-digit growth in our auto catalysis products, driven by wider adoption of gasoline particulate filtration. That was good momentum in the quarter and the outlook remains encouraging for this end market in 2022. Sales in the general industrial end market increased 28.4% for the quarter, driven by strong Elektron performance, supported by action to offset rising cost inflation. Furthermore, within Gas Cylinders, specialty industrial cylinders continued to recover well from pandemic lows. Overall, we delivered solid performance in a challenging operating environment and feel optimistic about continuing broad-based demand recovery throughout the remaining three quarters of 2022. Now, please turn to Slide 6 for summary of our first quarter P&L results. First quarter sales of $97 million increased $11.8 million or 13.8% from the prior year, including $7.1 million of incremental SCI sales, which accounted for 8.3% growth in our total revenue. Quarterly revenue also benefited from $9.4 million of price, which accounted for 11% of our total sales increase and offset rising material in labor costs, as well as other supply chain disruptions. Excluding price and acquisitions, volume declined by $3.5 million as we were unable to fulfill strong demand due to supply chain constraints. Consolidated adjusted EBITDA of $16.1 million for the quarter decreased $1.6 million or 9% from the prior year. Though we took additional price actions in the quarter, this effort did not fully offset the aggregate impact of both cost inflation and other supply chain disruptions. However, we expected this outcome in the first quarter. As we continue to implement further price adjustments, we remain confident in our ability to pass-through cost inflation to our customers through surcharges, adjustments, or other contractual means. All in, we delivered a strong performance to start the year given supply chain constraints are made to continued elevated order -- levels of order flow. Let's review our segment results on Slide seven. Elektron sales of $54.6 million grew 11.4% from the prior year, driven by general industrial demand and strong performance of magnesium powders using countermeasure flares. EBITDA increased even more than sales at 14.5% helped by timely cost pass-through. Gas cylinders’ segment sales grew 17.1% to $42.4 million, including $7.1 million in additional sales from the SCI acquisition. While demand levels remain high, inventory availability constrained sales. EBITDA of $2.7 million declined from the prior year's $6.0 million with input cost inflation and SCI losses impacting profitability. As a reminder, we closed the SCI acquisition in March of last year hence starting Q2, SCI is expected to deliver year-over-year profitability improvements. Given strong order backlog, and supply chain actions underway, we remain confident in achieving this division's expectations for 2022. Now, let's review our key balance sheet and cash flow metrics on Slide eight. Luxfer continues to benefit from a strong capital position. We have utilized our balance sheet to help insure inventory for our customers at the time of heightened supply chain uncertainty. We experienced the $10.3 million free cash outflow in the quarter as our working capital increased by $18 million sequentially to a $106.4 million. And we paid $6.6 million in cash restructuring payments primarily related to our 2019 closure of manufacturing operations in France. This Q1 free cash outflow is consistent with our typical cash flow seasonality. While our working capital at 27.4% of annualized sales sits above our targeted band of 21% to 23%, we view our incremental investments in inventory as a key differentiator in the long-term pillar of our customer-first strategy. In addition, our accelerating sales volume within the quarter contributed to our elevated working capital position at period end. We remain committed to our longstanding target of 21% to 23% working capital as a percentage of annualized sales and expect migration to this level as supply chain conditions normalize. With net debt of $68.7 million, our net debt to EBITDA measured just 1.1 times. I'm also pleased to report that on a trailing 12-month basis, we delivered 15.5% ROIC based on adjusted earnings. We continue to enjoy both the tactical and strategic flexibility afforded by our capital positioning. Next, I would like to review our capital allocation priorities on Slide 9. Our capital allocation priorities remain unchanged with a focus, first and foremost on reinvestments in our business to drive organic growth, as well as return of capital to shareholders and evaluation of value-creating bolt on M&A. As we announced on March 10th, our board increased our quarterly dividend by 4% to $0.13 per ordinary share, up from 12.5% per share previously. And during the first quarter, we also repurchased $1.5 million worth of shares, adding to our $6.4 million in 2021 buyback activity. Let's now review our updated 2022 expectations on Slide 10. We continue to forecast 2022 to be a strong year for Luxfer. We now expect to deliver adjusted diluted EPS of $1.35 to $1.50, up from $1.30 to $1.50 earlier. We expect revenue growth of 12% to 20% to underpin this earnings forecasts. From a high level, broad-based demand remains a tailwind for our overall portfolio. Like in 2021, we expect alternative fuels, as well as specialty products to drive growth in our Gas Cylinders business. At the same time, new product introductions like UGRE unitized group rations, should help drive growth in our Electronics segment. Further normalization in aerospace, one of the sectors hardest hit by COVID-19, should serve an incremental positive to both divisions. As mentioned earlier, we continue to address the challenges brought by tight raw material availability, including ongoing efforts to pass-through cost inflation to our customers. From a return on capital and capital structure perspective, Luxfer remains in a position of strength following our $18.2 million contribution last year, we have no need to make a contribution to our UK pension plan this year, which will support our 2022 free cash flow. We expect to make the remaining cash payment for the French manufacturer facility will be closed in 2019 later this year. And now I would like to turn the call back over to Alok to introduce Andy Butcher, our CEO Designate.
Alok Maskara: Thank you, Steve. I'm pleased to introduce Andy to all of those joining us today. Andy is a 30-year veteran of Luxfer and a key global growth leader. He has been a leader of Luxfer Gas Cylinder since 2008 and has been instrumental in driving the growth of the composite cylinder portfolio through new applications and end markets, such as alternative fuel. Andy have led successful Asian business development, as well as the recent SCI bolt-on acquisition. He has been my key business partner for the last 5-year and hordes of broad range of core competencies to drive strategic growth and lean operations. He is passionate about Luxfer 's values and culture, and I know Luxfer will be in great hands with Andy as the CEO beginning May 6th. Andy, over to you.
Andrew Butcher: Thank you for the kind introduction, Alok, and hello, everyone. Pleasure to speak with you today. I'm excited to lead Luxfer as the company's next CEO and to put my experience to good use. I take the reins with Luxfer in a strong position and with an attractive long-term growth outlook with favorable trends in many of the markets that we serve. We will continue to succeed in the future by putting our customer first, pursuing an agenda of organic growth, collaborating as a team, and further investing in product innovation while also evaluating complementary bolt-on acquisitions. Let's turn now to Slide 12 to review our progress on our transformation plans. Luxfer today is in a strong position. Our transformation plan of the last several years has permanently removed significant annual costs, enhanced our ability to drive strong free cash flow, simplified our manufacturing footprint, and focused our portfolio on high-margin, growing end markets. In Luxfer's next chapter, we will now work to accelerate growth, harnessing the macro and secular tailwinds benefiting our portfolio, and driving new product developments while pursuing selective bolt-on acquisitions. We will leverage our top line expansion with a renewed commitment to excellence throughout all areas of our business. We will support this with investment in the further development of our world-class team. Against this backdrop, we will continue to progress towards our goal of $2 or more in adjusted diluted EPS in 2025. I would like to conclude my comments today with the reminder of why Luxfer is some attractive long-term growth investments as detailed on Slide 13. Utilizing our core competency in materials engineering, Luxfer serves attractive niche markets with differentiated technology and products. The low cost structure achieved by our transformation plan will continue to make a positive and sustained impact on our business. When combined with our strong balance sheets and our free cash flow generation, we have a long runway to create shareholder value by accelerating growth and by committing to excellence in all aspects of our business while maintaining our customer-first approach. With that, I will turn the call back over to Alok for a few additional remarks.
Alok Maskara: Thank you, Andy. I want to take this opportunity to thank Luxfer's employees, shareholders, customers, and the Board for their support during the last five years. I am proud of all that we have accomplished together to form the foundation of the strong, near and long-term outlook that Andy just outlined. I look forward to remaining a Luxfer supporter and shareholder. Now, I'll like to turn the call over to the operator to begin the question-and-answer session. Operator, please go ahead.
Operator: Thank you, sir. [Operator Instructions]. Thank you. Our first question will come from Chris Moore with CJS Securities.
Chris Moore: Good morning, guys. If -- first of all, Alok, I'm very sorry to see you go. Andy and Steve welcome to your new roles. What's the biggest difference that we can expect from the change in management?
Alok Maskara: Sure. That's a loaded question, Chris. So first of all, thank you for [Indiscernible]. I will start, but then I'll give Andy and Steve the opportunity to jump in. And I think the one thing to keep in mind is that we have a very strong board. A board that's been in place now for a while. And the leadership team essentially remains the same. Both Steve and Andy have been part of the leadership team. So while I think the -- in my view, the largest change is going to be is the completion of the transformation plan to get the right cost structure. And truly flipping over to the growth side and driving incrementing growth organically and through bolt-on acquisition. Because for the past four years, we had been more focused on the cost transformation. And then I think we got caught up by COVID. But Andy, welcome your thoughts.
Andrew Butcher: Good morning, Chris. Thank you, Alok. Alok and I are well aligned. We've worked closely together for the last five years or more. So we're having a smooth transition. We share a lot of the same values, the same passion and enthusiasm for Luxfer, similar views on cost and growth. From an operational excellence perspective, we've got a strong leadership team. They remain the same, and I'm looking forward to working with them and leading them, and indeed leading all our employees. Strategically, as I said in my comments, that are locally reinforced, we're moving now from a focus on cost reduction to growth. And I'll be looking to accelerate that. I'll be reinforcing a strong mobile based on commitment to excellence. And we'll be investing in our people and our leadership. So I'm confident we'll have a smooth transition.
Chris Moore: Terrific. Thank you. I appreciate that. You've been addressing -- certainly in Q1, addressing inflation with cost pass - throughs. Can you talk a little bit about how that differs from price increases at Luxfer and what the expectation is 6 months to 12 months from now? Is there potential to get back some of those cost pass - throughs?
Alok Maskara: Sure. I'll take that, Chris. So I think when we talk about cost pass-through, this is to clarify that we are passing through our costs and we're doing that successfully to our customers. Really, it's a bit of only a nomenclature issue on that versus pricing. I mean, these are in some cases because of surcharges, but in majority of cases, these are pricing adjustments. As we look at on the other side, and assuming that inflation tapers off and we might even see some material inflation come back or deflation coming through, in quite a few cases, we may have to give it back, but I think in the large majority of the cases, we will look to be able to keep it because not just the material, we also face inflation from labor cost perspective, inflation from a freight perspective. So it's too early to tell. One thing to keep in mind is that our contracts often work against us when the costs are going up, but they work in our favor when the costs re going down because the pricing is set based on lagging 12 months. So I think from that perspective, if and when the cost starts going down, we will at least see a period where we'll see the reverse of what's happening now.
Chris Moore: Got it. I appreciate that. Last one for me, revenue growth guide stays at 12% to 20% for the year. What's the volume assumption within that growth?
Steve Webster: Thanks, Chris. I will take that. I think it's similar to what we said at Q4. So you could imagine around half of the total growth is down to volume and half-weighted approximately is down to price. There's a little bit of impact from the SCI acquisition this quarter. But as we said in the call, that sort of goes away as we move through the years. So you can assume around 50/50.
Chris Moore: Got it. I appreciate it. I'll jump back in line. Thank you.
Operator: Thank you. Our next question comes from Phil Gibbs with KeyBanc Capital.
Phil Gibbs: Hey, good morning.
Alok Maskara: Morning Phil.
Phil Gibbs: Hey. Pretty big dichotomy between Elektron 's price cost benefits and Gas Cylinders price cost headwind though, I'm sure again a lot of that is timing, but should we think the level of price cost benefits in Elektron that the margin normalize and the Gas Cylinders business normalizes as well?
Alok Maskara: Yes. I think that's a fair way to look at it. It is only timing in our view. And I think it's a fair assumption to say that both will normalize. Now in Elektron side, I think we are benefiting from pricing and a bit of mix that's working in our favor too. But I would say by the end of the year, both will be down to more normal levels with Elektron keeping some other gains and gasoline are recovering from the current situation.
Phil Gibbs: Okay. I was surprised to see Cylinders look like take a step back. I'm sure some of that was due to the customers timing and some of the supply chain inefficiencies that you're talking about. But is the Cylinders business expected to be relieved to some for those challenges as the year goes on? It just looked like a low quarter or low watermark for top-line.
Alok Maskara: Yes, it was. And some of it was expected and somewhat a little worse than expected, to be honest, failed and figure out all driven by supply chain constraints. Given some key through that supply chain constraints were internal make to us. In other cases, the supply chain constraints we're at the customers on auto products, which means they delayed their orders as well. Overall, thing like what Steve and I said earlier, we remain very confident in the full-year outlook, because we have been able to secure appropriate carbon fiber. Our customer supply chain conditions are easing and our order backlog remains very healthy. In addition, the price versus inflation dynamics within cylinder start catching up. As the [Indiscernible] annual pricing is said based on the lagging 12 months’ off-price index. So putting all that together, while the Q1 results on its own mid-low concerning, we remain confident about full-year outlook and the long-term growth prospects of Cylinders.
Phil Gibbs: Now is -- now, should we think about cylinders normalizing in terms of those spreads as the year progresses or is going to normalize pretty quickly in the second quarter?
Alok Maskara: No, I think it will be longer as I think as the year progresses, I think by end of the year so I think if you think about Q1 next year, we would have expected to be now much better balance in fact, in favor. But keep in mind that also depends on how inflation plays out. It's been a very volatile market and if inflation starts coming down, then it will normalize sooner. But current level we're not banking on inflation coming down. We are banking on our own cost pass-through actions.
Phil Gibbs: Okay. Thanks very much.
Alok Maskara: Thanks, Phil.
Operator: Thank you. Our next question will come from Craig Irwin with Roth Capital.
Craig Irwin: Hi. Good morning. And I also want to express my welcome to Andy. It was great to meet you recently. And Alok, sad to see you go. Hopefully, our paths will cross in the future. I wanted to start off digging and maybe a little bit deeper on the Gas Cylinders side. There's a little bit of chatter in the market about potential [Indiscernible] and very large hydrogen projects in Europe. And then there's an obvious acceleration in North America in hydrogen markets. And you do have very interesting supply position there. Can you maybe frame out for us the scope of opportunities that you're looking at right now? Maybe if you could talk about that or give us a little color on the character of projects that could be coming to bid. And how important this is as a driver for the company over the next couple of years?
Alok Maskara: Sure. Thanks, Craig. First of all, thank you for your wishes and thank you for your ongoing support. As we chartered earlier, I think Andy would be a great new leader for Luxfer and drive growth, especially given his passion on alternative fuel, including hydrogen. To your broader question, hydrogen remains very important to us. We are very pleased with hydrogen's momentum in U.S. So over the past few years, majority of the hydrogen momentum in terms of sales and backlog used to be in Europe, but over the past six to nine months and especially more recently, we're very pleased with the momentum in U.S.. building up as well. It's no-longer some government funded research going on in Europe, but it's truly becoming a commercial opportunity. To build up on the idea even in Europe, now that we are done with many of our pilot applications, trial applications, and try Lauder's, we're very excited about the opportunities that are in the pipeline. Both from bulk gas transportation perspective and also truly from on vehicle demand. Remember, our focus is mostly on heavy vehicles. And both of those are very good and positive opportunities for us. Now clearly we need to win those and I know we'll win our fair share of hopefully more than our fair share of those opportunities. But we are pleased with the pipeline in Europe and we are pleased with actual sales and orders in U.S. right now. We're all I mean, this remains easier to invest. As you know we are investing in new products, higher pressure cylinders for hydrogen. We are looking at doing our own bulk gas transportation integration and building those modules ourselves and we're investing in new design resources as well so very good opportunity for us.
Craig Irwin: That's really good to hear. So on your last call, you were quite conservative about expectations for SoluMag given high gas prices and global shortage of natural gas, I guess, particularly in Europe. It seems like there may be -- could be a little will have an opportunity for that product. Has anything changed? Do you still have a very cautious outlook for SoluMag or is this something where you think you could see a little sales acceleration over the course of this year?
Alok Maskara: Sure. Good question. Yes. I mean, clearly our outlook on SoluMag is better given the high oil pricing and the current dynamic. And last quarter to be fair, I was cautious but also trying to remind people that it's one of our product lines. We have many other product lines because our will pricing goes up and down. But in today's environment, we're definitely more bullish on SoluMag then we were at the end of Q4 and our order rates and sales rate support a better outlook than we would have -- would otherwise. We are very pleased with our ongoing partnership and success of our new products, including products that we used in the Permian Basin. Because historically that was an area where we had lower penetration. So penetration is good new products doing well, and the macro, in terms of quieter prices in the favor. So I think it's all good in the SoluMag front, but it's one of our many products. We just got born during the 2018 to '19 change in oil pricing. It's the key imported product, and it's going to be positive this year.
Craig Irwin: That's good to hear. And then last question. Are there any other products that you would call out as potentially very interesting this year? Things that could potentially see strengthening demand and maybe even surprise to the upside?
Alok Maskara: Surprise to the upside from new products, besides what we talked about in terms of alternate fuel and oil and gas, is likely to be on our defense side. So the two products, which Steve briefly mentioned, one is our new MRE, meals ready to eat, which we call the UGRE format and also our chemical decontamination kits. So we have new products in those areas that we have launched recently. And we expect good momentum. We're seeing good momentum. But with the current defense situation, those things could have more upside. But we're not baking any of that in the forecast. We want to make sure that we secure those and then be able to talk about it. But I think that's where we'll see upside this year is on the defense side with new products.
Craig Irwin: Understood. Thanks again for taking my questions.
Operator: Thank you. [Operator Instructions] Our next question comes from Chip Moore with EF Hutton.
Chip Moore: Hi, good morning. I [Indiscernible] a [Indiscernible] I'd like to say best wishes and good luck at Lennox as well. And Andy congratulations on the new role. Maybe just I'm feeling on that last one you referenced the geopolitical backdrop and the ramifications there for some of your end-markets. Can you expand a bit on your visibility into some of that demand? Have you seen that emerge? And then how are you positioning to meet that? Obviously, we saw the inventory build. Is that related or any color you can give us there?
Alok Maskara: Chip, thanks for your wishes and welcome to the Luxfer family coverage. Andy and Steve are going to be great leaders going forward in the future. On the defense side, yes, we are seeing a lot of momentum. We are prepared and some of the inventory build is for that reason. We want to make sure that we have sufficient supply of key raw material, including magnesium to serve that demand level. But at this stage, it is not converted to actual orders and I think that's not unusual, but we are definitely seeing heightened activity and heightened order rate. You've recently seen an announcement about us being awarded the M295 product contract as well. But typically, as with any other time, there's a three to six months lag between when those discussions start versus when they convert to orders. So we hope to be able to give you more of an update in the Q2 earnings call on where we are positioned and then, how we stand in terms of order backlog.
Chip Moore: Perfect. Thanks, Alok, for that. And maybe just one last one for me. Andy, love to get your perspective as an incoming CEO. What do you see as the biggest opportunities I guess, and sort of the medium to long term and then what are your thoughts on organic versus M&A if they differ at all? Thanks, everybody.
Andrew Butcher: Thank you, Chip. Nice to -- nice to talk to you. Yes, the change from focusing on costs and the success of the trends -- transformation plan giving us a platform now to really move on an accelerated basis towards -- focus towards growth is the most exciting thing, I think, about taking on the leadership of Luxfer at this time. Our first priority and our first focus area is on organic growth. Though the opportunities within alternative fuel, including hydrogen, as we were discussing earlier is particularly exciting. But not just that, we have a broad range of new products coming forward, which is going to help with -- with our organic growth. I see the opposition -- opportunity in acquisitions to be around focused strategic bolt-on -- bolt-on acquisitions. We got an active pipeline of those. So I look forward to working with the team on that. But our key focus over the next few years is that long-term organic growth.
Chip Moore: Great. Thanks for that. Appreciate you guys taking the questions. Thanks again.
Alok Maskara: Thanks, Chip. Appreciate it.
Operator: Thank you. An encore recording of this conference call will be available in about two hours. A link to the recording of this webcast will be available on the Luxfer website at www.luxfer.com. Thank you for joining us today. The next regular scheduled call will be in July of 2022 when the company discusses its second quarter 2022 financial results. This ends the Luxfer conference call. You may now disconnect.